Operator: Good day. And welcome to Clearfield’s Fiscal First Quarter 2024 Conference Call. All participants will be in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to Greg McNiff, Investor Relations for Clearfield. Please go ahead.
Greg McNiff: Thank you. Joining me on the call today are Cheri Beranek, Clearfield’s President and CEO, and Dan Herzog, Clearfield’s CFO. As a reminder, the slides in this presentation are controlled by you, the listener. Please advance forward through the presentation as the speaker presents their remarks. Please note that during this call, management will be making remarks regarding future events and the future financial performance of the company. These remarks constitute forward-looking statements for purposes of the safe harbor provisions of the Private Securities Litigation Reform Act. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those expressed in the forward-looking statements. It is important to also note that the company undertakes no obligation to update such statements except as required by law. The company cautions you to consider risk factors that could cause actual results to differ materially from those in the forward-looking statements contained in today’s press release, earnings presentation, and on this conference call. The Risk Factors section in Clearfield’s most recent Form 10-K filing with the Securities and Exchange Commission and its subsequent filings on Form 10-Q provide a description of these risks. They are also summarized on Slide 2 of the earnings presentation. With that, I would like to turn the call over to Clearfield’s President and CEO, Cheri Beranek. Cheri?
Cheri Beranek: Good afternoon, everyone, and thank you for joining us today to discuss Clearfield’s results for the fiscal first quarter 2024. We also intend to provide an update on our business and current market trends. Please turn to Slide 4. I noted last quarter that while the industry is facing several near-term macroeconomic and seasonal headwinds, broadband service providers continue to deploy equipment and long-term demand remains as strong as ever. In the following slides, I will preview recently released market data that demonstrates this case as well as the basis for our optimism regarding the long-term outlook. Consistent with our optimism, Clearfield repurchased 436,000 of its shares for approximately $12 million in the first quarter ended December 31, 2023. Total net sales for the first quarter of fiscal 2024 were $34.2 million above the high end of our guidance range, driven by higher-than-expected sales from our large regional service provider customers, due to their ordering of complementary products to support their inventory mix needed for current deployment. Dan will discuss our financial results for the quarter in more detail shortly. While we continue to expect the next few quarters to remain challenging due to the inventory overhang across the industry, we remain focused on positioning Clearfield to take share when ordering patterns return to a more normalized cadence. To that end, we are expanding and enhancing our product portfolio in order to reduce the overall cost of fiber deployment by making the process as efficient as possible. We recently announced the addition of an innovative vault to our current product portfolio, which is designed to reduce the cost of shipping and storage by approximately 67%. Feedback from our recently introduced CraftSmart FiberFirst Pedestal and also the FieldSmart FiberFlex Active Cabinet designed to be installed in rural areas has been exceptionally positive. Both products are now shipping and reflect another step toward our goal of providing our customers with alternative choices that continue to streamline fiber deployment. In addition, we are working to ensure these products and all other Clearfield product offerings will be compliant with Buy America, Build America, known as BABA. As the BEAD awards are expected to translate to initial deployments near the end of this calendar year. As shown on Slide 5, recently published data from RVA, an independent research firm analyzing data in the North American fiber broadband industry, recently reported that the industry passed 9 million households in 2023, nearly 1 million more than the year before. Furthermore, this total included 3 million households which already had access to one fiber service provider. The fact that approximately 35% of the households passed in 2023 already had access to one fiber provider confirms our view that the competitive landscape for broadband service is healthy and that our total addressable market is larger than a single fiber connection for each U.S. household. As many of you know, the $42.5 billion BEAD program is now underway with the maps released and the value of the monetary award divided per state. Slide 6 illustrates the relationship between the government disbursement and service provider deployment. As you can see, the year is projected to be the largest disbursement year of government funding. However, we expect these funds to translate into deployments and revenue over the next several years. As illustrated on Slide 7, industry forecasts from RVA indicate that the next five-year period will see up to 12 million additional homes passed with fiber because of the Federal funding initiatives, these programs will bring high-speed internet access to unserved and underserved areas that will boost the forecasted total homes passed in the next five years in the U.S. market to over 57 million homes. Coming back to Clearfield’s performance, I’d now like to pass the call over to our CFO, Dan Herzog, who will walk us through our financial results for the fiscal first quarter of 2024.
Dan Herzog: Thank you, Cheri, and good afternoon, everyone. Please turn to Slide 9 to look at our fiscal first quarter 2024 results in more detail. Consolidated net sales in the first quarter of fiscal 2024 were $34.2 million, a 60% decrease from $85.9 million in the same year ago period. The year-over-year decrease in total net sales was due to the ongoing industry dynamics that we commented on throughout the past year and that our peers in the marketplace have reported over the last several quarters. We remain focused on reducing costs and improving margins at Nestor by investing in more efficient manufacturing equipment and introducing higher margin plug-and-play connectivity products. We continue to be focused on labor utilization as well as driving efficiencies for enhanced productivity in order to improve gross margins at all our manufacturing locations. Order backlog declined 68% to $43.5 million on December 31, 2023 from $57.3 million on September 30, 2023 and $136.3 million on December 31, 2022. As our visibility remains limited, we continue to collaborate with our customers to align their open orders with their deployment schedules. As a reminder, the winter season is typically our lower order booking and revenue quarters. Our lead times are now less than four weeks across most product lines. We continue to expect backlog to become less of an indicator for future sales as most orders will be fulfilled within the quarter they are received. Turning to Slide 10, I will now review net sales by our key markets. Sales to our primary market, community broadband, comprised 36% of our net sales in the first quarter of fiscal 2024. In Q1, we generated net sales of approximately $12.3 million in community broadband, down 67% from the same period last year. Net sales for the first quarter in our large regional service providers market were $7.9 million, comprising 23% of our total net sales, and declined by approximately 47% in the first quarter of this fiscal year versus the prior year first quarter. Net sales in our MSO business were $5.2 million and comprised 15% of our net sales in the first quarter. Net sales declined by approximately 75% in the first quarter of this fiscal year versus the prior year first quarter. Net sales in our national carrier market for the first quarter decreased to $1.3 million, accounting for 4% of total net sales, and declined by approximately 48% in the first quarter of this fiscal year versus the prior year first quarter. Finally, net sales in our international market were $6.7 million and comprised 19% of total net sales in the first quarter. Net sales in this market decreased by approximately 35% in the first quarter of fiscal 2024 versus the prior year’s first quarter. As detailed on Slide 11, gross profit margin in the first quarter declined to 13.7% of net sales from 35.7% of net sales in the same year ago quarter. Our gross margin continues to be impacted by unabsorbed overhead in our manufacturing facilities due to lower levels of demand and winter seasonality. The company continues to adjust its production capacity to align to current demand and market conditions. In addition, gross margin was negatively impacted by an increase in reserves for excess inventory, primarily resulting from the lull in demand. We continue to expect revenue and gross margins in the first half of fiscal 2024 to be impacted by the continued inventory digestion at our customers as well as normal seasonality. As we enter the build season in the second half of fiscal 2024, we anticipate an uptick in demand, which should lead to an increase in capacity utilization that should result in an improvement in gross margins. We continue to work to uphold price discipline as well, while also ensuring the preservation of our long-term customer relationships. Moving forward, we will remain thoughtful in how we address pricing with our customers. Now please turn to Slide 12. Operating expenses for the first quarter were $12.9 million, which were consistent with $12.8 million in the same year ago quarter. The company remains committed to servicing its customer base and enhancing its long-term market position as seen by the consistency in year-over-year expense, which reflects our continued investment in our operations. As a percentage of net sales, operating expenses for the first quarter were 37.6%, up from 14.8% in the same year ago period due to lower sales volumes. Turning to Slide 13. Net loss in the first quarter was $5.3 million compared to net income of $14.3 million the same year ago period and net income of $2.7 million in the fourth quarter of fiscal 2023. Our net income is heavily affected by our reduced volume levels, which in turn results in lower gross profit percentage. As illustrated on Slide 14, our balance sheet remains strong with $169 million of cash, short-term and long-term investments and just $2 million of debt. We had $2.4 million in capital expenditures in the quarter, mainly to support our manufacturing operations. Our inventory balance decreased from $98.1 million at fiscal 2023 year end to $94.6 million in the first quarter of fiscal 2024. Our cash, short-term and long-term investments reflect the reduction of just $5 million from September 30, even though $12 million was used for the repurchase of shares in the first quarter. We recorded a cash flow from operations of positive $7.8 million in the quarter. Our strong balance sheet ensures that we are well positioned to effectively compete for larger customer opportunities and to pursue strategic opportunities to enhance our market and product portfolio. Likewise, our strong cash balance positions us to manage the business for the long-term and through our share repurchase program, reinvest for the long-term. Please turn to Slide 15. Due to limited visibility related to the reasons we’ve discussed over the last several quarters, we will continue to provide quarterly guidance. We anticipate the second quarter of fiscal 2024 net sales to be in the range of $29 million to $33 million. We expect to generate a net loss per share in the range of $0.49 to $0.55. This increased loss over the prior quarter is due to increased inventory reserves for excess inventory, primarily resulting from the lull in demand. This loss per share range is based on the number of shares outstanding at the end of the first quarter and does not reflect share repurchases in the second quarter. As I indicated earlier, we repurchased $12 million in stock as part of our share buyback program in the first quarter, which represented 436,000 shares at an average price of $27.69, leaving approximately $21 million available for additional repurchases. The significance of our buyback underscores our clear and proactive commitment as we believe in the enduring strength and potential of our company and this market. In the coming quarters, we will continue to make thoughtful and strategic decisions regarding share repurchases driven by our strong conviction that our current share price is not reflective of our long-term opportunity. That concludes my prepared remarks for our fiscal first quarter 2024. We appreciate the support of our investors as we continue to work to drive shareholder value. I will now turn the call back over to Cheri.
Cheri Beranek: Thanks for the financial update, Dan. Turning to Slide 17, I would now like to provide a brief update on our multiyear strategic plan, which we have labeled LEAP. LEAP is our roadmap for how we intend to capitalize on the significant opportunities ahead when industry demand returns to a more normalized cadence. Over the last 12 months, Clearfield’s performance has been negatively affected by a misalignment between our capacity and market needs. We view this mismatch between supply and demand as a temporary challenge that we have addressed through reductions in variable costs. Yet we must and will continue to execute at the highest level. Rural broadband is in our DNA, and the reason we are the leading provider to this customer segment. As I highlighted earlier, we’re not sitting still. Rather, we continue to develop new labor saving products and align our sales and support staff to the markets where fiber is being deployed. Expect more product announcements to come highlighting these attributes. Listening to our customers and then delivering to their needs is the foundation upon, which our North American business was built. Recently, we hired an executive with significant connectivity experience for our European operations who will work alongside our existing European team to lead our initiatives to cross sell extensions of Clearfield connectivity products. We have also recently hired a senior level operations executive to lead our North American manufacturing and procurement programs as part of our ongoing operational initiatives to drive cost reductions, align capacity to near term demand, and to convert inventory to cash. In addition of this edge strength to Clearfield’s management team is an investment that will accelerate our ability to deliver strong earnings as market dynamics return to a more normalized pattern. While the near term industry dynamics remain challenging, we also remain confident that the future growth in fiber is absolute and the value proposition that Clearfield brings to the market is as strong as ever. And with that, we will open the call to your questions.
Operator: Thank you [Operator Instructions] Our first question comes from the line of Scott Searle with Roth. Please proceed with your question.
Scott Searle: Good afternoon. Thanks for taking my questions. Hey, Cheri, maybe just to dive-in in terms of some of the government funding earlier in the week, Calix was indicating that there had been some delays in deployments as customers were evaluating the BEAD programs. I’m wondering if you could comment on that if you’re seeing a similar type of slowdown with your customers, and then also more specifically in some of the BEAD programs funding an award themselves. I appreciate the detail in the slides, but when do you expect to see awards to start to happen and when would you expect those to materialize in orders benefiting Clearfield? Is that still on track for the first calendar quarter of 2025? Or is there the potential for some of this to slip?
Cheri Beranek: Yes. Hi, Scott. Listening to the Calix world, I mean that’s really consistent with our world. And really probably consistent with what we’ve been saying for a couple of quarters now, that as people put together their plans and their engineering directives and how it relates to what’s coming with BEAD, there needs to be a choice. And so there has been less revenue, less activity than one might expect. There are only so many engineering companies to go around, and so they’re engineering for potential BEAD awards and not necessarily for deployments this year. And we’ve also talked about that the balance sheet needs to be in a good place for when they go after the BEAD funding because they’re competing with others and there is a level of financial match that’s necessary as well. It really doesn’t change our outlook that the BEAD initiatives will start to see being rolled out now in late 2024, and consistent with what we’ve said in the past and what Calix has said is that’s meaningful in 2025 and for the next three years to five years as those programs are put into place. The one thing that I want to make sure that we talk through though as well is, when we look at one of the slides earlier in the presentation, is that the number of homes passed in the next five years, even without BEAD, is going to be close to 35% higher than it was in the previous five years. It’s just really a timing of the quarters and how we can put this all together. So, I’m not anticipating that BEAD is going to slip as much as I think it is a disciplined manner of getting everyone’s kind of back together.
Scott Searle: Okay, very helpful. And if I could, for a follow up, looking into your guidance into the March quarter, a couple of items, I’m wondering if you could quantify the inventory charge. It looks like it’s probably somewhere in the two plus million range. Just wanted to get a handle on that. And in terms of March sales outlook, are you comfortable that this is marking the bottom and we should see sequential improvement through the course of this year? And I know it’s a little bit early, but I’m wondering, what’s the timeline that you would expect, kind of “normalization of your revenue stream”, where demand is your shipments are more in line with end market demand? Thanks.
Cheri Beranek: Right, I’ll take the second half, and I’ll have Dan talk to the inventory reserves. As we look at the quarter in March, it’s still the winter seasonality. And so, beyond the BEAD program and beyond the issues associated with inventory overhang, we are going through winter issues. Although it doesn’t look like it here in Minnesota, it’s 50 degrees today and not any snow. So, we’re actually hopeful that we might get, with so much warm weather across the country that we might get an early spring and an early build. And that I think is one of the factors that I think we’re going to see. The March quarter would be my expectation that it’ll be part of that – it will be kind of the bottom of our U. I’ve talked previously about a U shaped recovery, and I think we’re going to start to see more of a normalized world and a normalized pattern closer to this. We’re still in this winter and pulling down the backlog right now, but we’ll see closer to that one-to-one book-to-build ratio that we kind of were famous for as we get into the summer months and we expect our revenues to increase. We just don’t have a forecast at this point to what level. Dan, do you want to address the inventory?
Dan Herzog: Right. So, yes, Scott. Hi. So we’ve tried to conservatively estimate and its summer is in the area, like about 5.5 million for the upcoming quarter. Those are hard to estimate. You kind of got to get through the quarter and see what relieves in the quarter, so that’s an estimation right now. Clearly, those things are going to be prevalent in the market. You’ll probably hear more people talking about that, but as people are stocked up for longer term demand, but we have to get through this pause and everybody else reducing their inventories, you’re going to probably see this more. So when you can look at people’s inventory to their revenue numbers. You can kind of anticipate those things are going to happen. So it’s important to note that these aren’t things that we’re obsoleting. These are not things that we’re putting in the dumpster. The words that we’re using around that’s reserves and it’s on excess inventory, meaning we just have too much of what we make. We don’t stock up a lot on finished goods. We’re pretty much doing components or sub-assemblies that will eventually go to those finished goods. But we are not – this to us, looks, it’s kind of like a non-cash charge that we expect that when markets return and demand returns will be used, and at that point in time, you get recoveries back on those, and it actually helps improve the reserve; so looking at this as a timing thing.
Scott Searle: Great. Thanks. I’ll get back in the queue. And, Cheri, please send that warm weather east. Thanks.
Cheri Beranek: Thank you.
Scott Searle: No.
Operator: Our next question comes from the line of Ryan Koontz with Needham and Company. Please proceed with your question.
Ryan Koontz: Thanks for the question. On your customer segments here with the step down at community broadband, it’s definitely at a multiyear low pre-pandemic. And I wonder if you thought about if you parsed out the results you had in December and thought forward at least into March, what the impact – what the headwind is there specifically in community broadband? Is it dominantly inventory? Is it dominantly conservation of capital and resources to plan for bead? If you can help us there, that’d be really helpful? Thank you.
Cheri Beranek: Yes. I think it’s a combination of all of the above. I mean, mostly community broadband did not have a strong inventory position. The higher level of inventory being held is at the large regional providers and so with those regional providers now starting to kind of work through their mix, that’s actually a really positive sign for us. I think the community broadband numbers are very relative to what others in the industry. As Scott said from Roth the Calix announcements earlier this week, it’s very consistent. Community broadband is holding back, evaluating what they’re going to do, making sure they have the right funding, and they’re going to be able to have their engineers in the right place for where they get their funding or where they don’t. So, I mean, those of us who have been in this market for a long time know that government funding is fabulous, but it also is frustrating because back in 2008 when we probably got the previous time that we got a chunk of money into this market, it put a lull in our business for probably close to nine months, and so this is no different. So we’re confident it’ll come back. It is just a reflection of people evaluating their options.
Ryan Koontz: Great. And it sounds like from your comment there, the regional’s you’re seeing some improvement in the inventory situation at your regionals and a little more pull, is that accurate?
Cheri Beranek: Right. I think it’s the standpoint of the analogy I’ve used. I think it’s very descriptive of forks and knives. They’ve got all the forks they need, but now they’re finding out they need more knives. And so that’s a really good sign that it’s starting to kind of work itself out and that they made estimates upon what they’re going to need and they made estimates in regard to the mix of what they’re going to need. So it is definitely starting to improve. And I think it’s important to note that we did have a record high in the number of homes passed last year. And so this disconnect between the number of homes actually connected and the number of the dollar signs being shown by the manufacturers is a mismatch at the moment. I think that’s really the best reflection or answer to your question.
Ryan Koontz: Okay, great. That’s all I have.
Operator: Our next question comes from the line of Tim Savagenou with Northland Capital Markets. Please proceed with your question.
Tim Savagenou: Hi, good afternoon. I think you might have touched on this a little bit, but I did note a little uptick at least sequentially amongst the larger regional players. And I guess as you look forward here for your – I don’t know, your guide for Fiscal Q2 or even farther out. What do you – €I guess, what do you expect to see from that cohort, and is there any reason that that would diverge from what you’re seeing from your broader community broadband market? And I’ll follow up from there.
Cheri Beranek: I wouldn’t call it diverge. I mean, I think what we’re seeing is Clearfield has been strong for a decade in community broadband, but is emerging as a presence in the large regional providers, in that we took share during the pandemic period. We’re working very hard during that time and now to ensure the stickiness of that relationship, the partnering that we’re doing to help them manage their inventory, to help them reduce the cost of their deployment by taking out labor. So, I think it’ll be an increasing part of our business, but it could be lumpy, because you get an order from a large regional provider that can dwarf some of the other business and maybe put it out of perspective. So, I wouldn’t read into a single quarter at this point in time, but I think it’s good for you – for all of us to see the level of activity underway and the pull through that we’re starting to see.
Tim Savagenou: Okay, great. And obviously I think you saw a seasonal downturn on the international side. I imagine that will. Do you expect that to continue to decline into a Q2 or save a lot – to further deployment…
Johnny Hill: Yes, no, I apologize for interrupting, Tim. Very seasonal and it’s very cold in Northern Europe, even colder than a normal year and started – and the winter started very early as well. So, that the first quarter down in international sales is very seasonal and I fully expect that to be a better number next quarter.
Tim Savagenou: Okay. And last one for me. And you may have touched on this, apologies if you did, but given the bottom line guide, I’m assuming you’re looking for a little more pressure on the gross margin front in Q2. But if you have any specifics you want to share there, that’d be great. Thanks.
Johnny Hill: Yes, it’s kind of consistent with where we finished our Q1 in revenue. So, we’re not forecasting going up on that. So, you’d see, you’re kind of seeing it slightly lower the range that we provided. So that’s there. And then it’s predominantly related to the non-cash inventory reserves that we’d be taking. So like I mentioned to Scott, like 5.5 [ph] on that, so that puts pressure on us. Obviously, the lower volume is there. That’s just going to be a given anytime that were, let’s say below our higher revenue quarters. So that’s a given. But the big change is related to the excess inventory reserves. That’s what pushes the margin down.
Tim Savagenou: Got it. Thanks very much.
Operator: [Operator Instructions] Our next question comes from the line of Jaeson Schmidt with Lake Street. Please proceed with your question.
Jaeson Schmidt: Hey guys, thanks for taking my questions. Just a few questions on Nestor. I think previously there was the expectation for the Nestor business to be able to ramp to that $15 million range in the summer months. Is that still possible?
Cheri Beranek: We’re not providing guidance that far out. And so there – I’d say there is an opportunity in that we’re building a company to be able to address that and we’re building capacity to address that. One of the enhancements that we’ve made over the course of the last year is the expansion of the amount of Microduct that we’re able to provide. And what’s exciting about Microduct, not only that it increases the revenue and increases the margin, but it also is a precursor to future connectivity sales. So it gives you an early indicator and the addition of resources there. For connectivity – someone who has a strong background in connectivity and understands the differences and nuances of the types of connectivity solutions that are necessary, certainly will help us pull that through. I’d say don’t get – again, it’s more of a trendline there, I think for us, rather than a specific target for the summer months and because of the fact that the rockiness or the lumpiness of their seasonality, $15 million is possible, but not a forecast from us.
Jaeson Schmidt: Okay, that’s fair. And then can you update us on the timeline on where you’re at from being able to manufacture the Nestor product line in the Mexico facility?
Cheri Beranek: We’re already doing that. So the only issue we have is the availability of PVDF materials. And so we are fully manufacturing in Mexico, the Nestor product types. Mostly, what I think is important though there is that we’re not intending to manufacture high count fiber for the U.S. market. That tends to be a commodity level product line. And so we aren’t going to make the capital equipment investment for that. But certainly all of the products that Nestor made for Clearfield were able to do in the Mexico facility. And we’ll be able to do with the expansion of our manufacturing lines and the new cable lines that we’re putting into one of our Brooklyn Park facilities. We’ll be able to do all of the previously Nestor supplied equipment in Minnesota as well.
Jaeson Schmidt: Okay, perfect. Thanks a lot, guys.
Operator: There are no further questions in the queue. I’d like to hand the call back to management for closing remarks.
Cheri Beranek: Liam, thanks for the opportunity to spend some time with you all at this period of time and to really help to provide, I think some insight behind a long-term investment opportunity. We are at an amazing time right now in the U.S. market and on the brink of really becoming a fiber rich country. And the opportunities that presents for us and the economy that it will build is certainly a strong one. The Clearfield opportunity here remains the same. Our value proposition is exactly built for this time. And I welcome the opportunity for you to join me in recognizing some of the benefit that fiber is going to provide. And hopefully you see that and want to participate in that as being a shareholder of Clearfield.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.